Operator: Greetings, and welcome to the Fair Isaac Corporation quarterly earnings call. [Operator Instructions] And as a reminder, this conference is being recorded, Thursday, January 25, 2024. 
 It is now my pleasure to turn the conference over to David Singleton. Please go ahead. 
Dave Singleton: Good afternoon, and thank you for joining FICO's first quarter earnings call. I'm Dave Singleton, Vice President of Investor Relations, and I'm joined today by our CEO, Will Lansing; and our CFO, Steve Weber.
 Today, we issued a press release that describes financial results compared to the prior year. And on this call, management will also discuss results in comparison with the prior quarter to facilitate an understanding of the run rate of the business.
 Certain statements made in this presentation are forward-looking under the Private Securities Litigation Reform Act of 1995. Those statements involve many risks and uncertainties that could cause actual results to differ materially. 
 Information concerning these risks and uncertainties is contained in the company's filings with the SEC, particularly in the Risk Factors and Forward-Looking Statements portion of such filings. Copies are available from the SEC, from the FICO website or from our Investor Relations team.
  This call will also include statements regarding certain non-GAAP financial measures. Please refer to the company's earnings release and Regulation G Schedule issued today for a reconciliation of each of these non-GAAP financial measures to the most comparable GAAP measure. The earnings release and Regulation G Schedule are available on the Investor Relations page of the company's website at fico.com or on the SEC's website at sec.gov. 
 And a replay of this webcast will be available through January 25, 2025.
 Now I will turn the call over to our CEO, Will Lansing. 
William Lansing: Thanks, Dave, and thank you, everyone, for joining us for our first quarter earnings call. In the Investor Relations section of our website, we posted some financial highlight slides that we'll be referencing during our talk today.
 I am so pleased to report that we had a great start to our fiscal year with double-digit growth in revenue, net income and EPS versus last year. It was a solid quarter, and we're well positioned for our fiscal 2024.
 As shown on Page 2 of the first quarter financial highlights, we reported first quarter revenues of $382 million, up 11% over last year; we delivered $121 million of GAAP net income in the quarter, up 24%; and GAAP earnings of $4.80 per share, up 25% from the prior year. 
 On a non-GAAP basis, quarter 1 net income was $121 million, with earnings of $4.81 per share, up 12% and 13%, respectively.
 We delivered free cash flow of $121 million in our first quarter, up 32% versus prior year. 
 We continue to return capital to our shareholders through buybacks. In quarter 1, we repurchased 78,000 shares at an average price of $915 per share. This month, we exhausted the remainder of the 2022 repurchase authorization, and we announced a new $500 million authorization this week.
 In our Scores segment, as you can see from Page 6, our first quarter revenues were $192 million, up 8% versus the prior year. On the B2B side, the current quarter revenues were up 12% versus the prior year. This is a strong result considering the impact of higher interest rates on loan origination volumes and also the Latin America license renewal that we had in Q1 of 2023.
 On the B2C side, the current quarter revenues were down 3% versus the prior year. First quarter mortgage originations revenues were up 188% versus the prior year. Auto originations were down 3%. Credit card, personal loan and other originations revenues were down 5% versus the prior year.
 We continue to see traction with our latest score, FICO Score 10 T. As you'll recall, last quarter, we announced that Movement Mortgage was an early adopter of FICO 10 T. This quarter, we announced that CrossCountry Mortgage, which is the nation's #3 retail mortgage lender, will use FICO 10 T to analyze its nonconforming loans. They are the first lender of originating loans to be issued in a mortgage-backed security based exclusively on the FICO Score 10 T. These clients, in addition to others, have signed up to demonstrate to investors and to rating agencies and to other stakeholders a real-world example of the improved predictive performance offered by FICO Score 10 T.
 In our Software segment, we delivered $190 million in quarter 1 revenue, up 14% from last year. We continue to drive strong growth in ARR and NRR through our land-and-expand strategy, with expand driven by increased customer usage. As you can see on Page 7, total ARR was up 18% with platform ARR growth -- growing 43% and nonplatform ARR growing 11%. 
 Total NRR for the quarter, shown on Page 8, was 114%, with platform NRR at 136% and nonplatform NRR at 108%.
 We do continue to see strong demand from our new customers. Our total ACV bookings for the quarter were $18 million, a good result after a particularly strong fourth quarter. We continue to have a robust pipeline of opportunities, particularly with FICO Platform offerings. 
 We've expanded our FICO Platform reach both by geography and by customer type. In December, we launched FICO Platform with an event in India, and we've already had several early adopters looking to expand to multiple use cases. In the U.K., StepChange Debt Charity, a market leader, will use the FICO Platform to provide individual outcomes to consumers seeking to become debt-free. 
 Our biggest opportunity near term continues to be in North America, where banks are focused on digital transformation and understand the value of the FICO Platform, where data-driven analytics allow hyper-personalized decisioning and consumer interactions on a real-time basis. 
 We continue to innovate and bring new capabilities to the FICO Platform and work with new customers to demonstrate value and with existing customers to expand use cases. Our innovation will be highlighted at this year's FICO World event, which will take place in San Diego in April. I'll have more on that later. But for now, let me turn the call over to Steve for further financial details. 
Steven Weber: Thanks, Will, and good afternoon, everyone. As Will mentioned, we had another very good quarter with total revenue of $382 million, an increase of 11% over the prior year, or 12% when adjusted for last year's divestiture. 
 Scores segment revenues for the quarter were $192 million, up 8% from Q1 of 2023. B2B revenues were up 12% driven by mortgage originations revenues. Our growth would have been higher if not for the Latin American license revenue, which we'll talk about, in Q1 of 2023 that did not recur this year.
 Our B2C revenues were down 3% versus the prior year due to declines in our myFICO business, partially offset by our licensed B2C business. 
 Scores (sic) [ Software ] segment revenues in the first quarter were $190 million, up 14% versus Q1 of 2023 or 17% when adjusted for the divestiture. This quarter, 83% of total company revenues were derived from our Americas region, which is a combination of our North America and Latin America regions. Our EMEA region generated 10% of revenues, and the Asia Pacific region delivered 7%. Our total Software ARR was $688 million, an 18% increase over the prior year. 
 Platform ARR was $190 million, representing 28% of our total Q1 '24 ARR, up from 23% of total Q1 '23 ARR. Platform ARR grew 43% versus the prior year, while nonplatform ARR grew 11% to $497 million this quarter. 
 Our Platform land-and-expand strategy continues to be very successful. Our dollar-based net retention rate in the quarter was 114% versus 110% last year. Platform NRR was 136% versus 130% in the prior year, while our nonplatform NRR was 108% versus 103% in the prior year. Nonplatform ARR growth was driven by customers' increased usage and CPI price increases.
 Our Software ACV bookings for the quarter were $18.3 million versus $21.5 million in the prior year. We view this as a successful sales quarter coming off a record quarter in our fourth quarter of '23. Remember that ACV bookings include only the annual value of software sales and exclude professional services.
 Turning now to our expenses for the quarter. Total operating expenses were $231 million this quarter versus $205 million in the prior year. Our current quarter expenses are a 3% increase from the prior quarter, which was $224 million. As we indicated last quarter, we maintain our focus on investment to accelerate development and distribution of the FICO Platform. And as a reminder, our incremental investment is relatively modest and is already built into our guidance.
 Our non-GAAP operating margin, as shown in our Reg G Schedule, was 48% for the quarter.
 GAAP net income this quarter was $121 million, up 24% from the prior year's quarter. Adjusting for excess tax benefit and the prior year Siron divestiture, our one -- year-over-year GAAP net income grew 14%. Our non-GAAP net income was $121 million for the quarter, up 12% from the prior year's quarter.
 The effective tax rate for the quarter was 7% and included $24 million of reduced tax expense from excess tax benefits recognized upon the settlement or exercise of employee stock awards. In the prior year, the excess tax benefit was $10 million. We believe that our fiscal year 2024 net effective tax rate will be around 22%, while our recurring tax rate is expected to be around 26%. Again, the recurring tax rate is before any excess tax benefit and other discrete items.
 Free cash flow for the quarter was $121 million, a 32% increase on the previous year. The trailing 12-month free cash flow was $494 million compared to $465 million in the prior year. 
 At the end of the quarter, we had $197 million in cash and marketable investments. Our total debt at quarter end was $1.96 billion with a weighted average interest rate of 5.2%. Currently, 66% of our total debt is fixed rate. Our floating debt is prepayable at any time and gives us the flexibility to use free cash flow to reduce outstanding floating debt balances in future periods.
 Turning to return of capital. We bought back 78,000 shares in the first quarter at an average price of $915 per share. At the end of the quarter, we had $49 million remaining on the Board authorization, and as Will mentioned, we subsequently bought additional shares in January, exhausting the authorization. And this week, we announced a new $500 million repurchase authorization. And we continue to view share repurchases as an attractive use of cash.
 And with that, I'll turn it back to Will for his final thoughts. 
William Lansing: Thanks, Steve. I am excited about our traction as we continue to drive more innovation than ever. In the Scores business, our financial inclusion efforts continue as we launched a FICO Score aimed at helping Ukrainian refugees displaced through the war have access to credit.
 Additionally, we added our third historically Black college and university, Delaware State University, as part of our FICO Educational Analytics Challenge. This is a program created to help promote diversity in data science, engineering and technology.
 In the Software business, we added 20 new enhancements to the FICO Platform and expanded our patent footprint to over 220 patents by adding 10 patents related to digital decisioning, fraud detection, machine learning and responsible AI. And this innovation will be on display at FICO World 2024, where we will showcase how FICO truly supercharges our clients' digital transformations. At this 4-day event, which takes place in April, we'll bring together industry professionals from around the world to connect, share best practices and learn how FICO enables organizations to power customer connections at scale. We will highlight successful clients and demonstrate the power of the FICO Platform, enabling companies to operationalize analytics, become more composable and make better decisions at scale.
 With that, I'll turn the call back to Dave, and we'll open up the Q&A session. 
Dave Singleton: Thanks, Will. This concludes our prepared remarks, and we're now ready to take questions. Operator, please open the lines. 
Operator: [Operator Instructions] And our first question is from the line of Faiza Alwy from Deutsche Bank. 
Faiza Alwy: So I first wanted to ask about Software. You touched on this a little bit, but give us a bit more color on the Software pipeline. As you said, you do have FICO World coming up. So what are some of the new things that we should watch for? 
 And as part of that, if you can address some seasonality in the business because we had a bit of a step-down in ARR, so talk a bit about what your expectations are for ARR as we move through the year. Is the step-down more seasonal? Or should we expect sort of more of a structural slowdown? 
William Lansing: Yes. I think it's not so much -- well, just to take this in reverse order, not really a seasonal thing so much as it is deals move around, and they move from quarter-to-quarter. And I would say, this quarter, some deals were pushed to next quarter. We don't see that as a very big deal, I mean, not something that we're focused on.
 The pipeline is the strongest it has ever been, and it's also the most mature it's ever been. So I would say, in terms of the stages of the pipeline, we're seeing more maturity within the pipeline than we have in years past. So we're actually feeling really good about the pipeline.
 In terms of what to expect at FICO World, I think that you'll have what we traditionally do, which is take you through the latest and greatest in innovation from FICO. We're also going to see a lot of customers who are delighted to stand up in front of their peers and explain all the value that they're getting out of the FICO Platform. So I think you'll see just a lot of reference customers.
 And part of FICO World, it's not just a sales event for us. It's really an event for our customers to help sell to one another because they wind up being our best references. And so it's a place where best practices get passed around, and there's a lot of adoption of FICO technology there. 
Faiza Alwy: Great. And then just switching on the Scores side. I wonder if anything has changed as it relates to your volume expectations for 2024. There has been -- since we -- since you last reported earnings and gave the guide, it seems like the overall environment might be trending a little bit better. There's at least some more optimism. So I'm curious if anything was different as it relates to your expectations in the quarter itself and how you're thinking about volumes going forward. 
William Lansing: So we're very comfortable with our guidance, and we continue to see volumes roughly where we expected, frankly. I'm not sure I agree with the view that there's more optimism. I mean rates have ticked up in mortgages recently, and so, if anything, I guess, I feel like the rate -- the fall in rates might be slower than a lot of industry pundits had been forecasting.
 That said, as you know, FICO is always very conservative in our view about these things. And so I wouldn't say that we're caught in any way by a little uptick in rates or by slowness in rates coming down. There's no question that we will benefit tremendously as volumes increase when rates come down. And we anticipate that within the year and within next year. But I'd say, right now, no change in our outlook. 
Operator: And our next question is from the line of Surinder Thind with Jefferies. 
Surinder Thind: So Will, just another follow-up question on the Software business. Can you talk a little bit about, I guess, the pipeline when it comes to kind of new clients? When I do the math, it looks like the pace at which new clients are bringing on ARR has been slowing for a number of quarters now. Just any color on your ability to bring on board new clients at this point? 
William Lansing: We have not had any challenges bringing on new clients. I mean as our penetration goes up, we will have captured more and more of our target enterprise customer base, and more and more of the growth will be from the expand part of the business, which is more use cases and more volume with existing customers.
 It does take some time to onboard, so it doesn't always show up instantly. But I would -- I think what you're going to see over time is a mix shift from land to expand, although we're not having any trouble landing; we continue to land new customers. 
Steven Weber: Yes. I would just say, Surinder, that when we start with someone that's really new, the lead time is longer on them than an existing customer. So that's why you'll see some of that. But we still signed a lot of new deals with a lot of new customers or at least different use cases with customers that are using some of our legacy products. 
Surinder Thind: Got it. And then in terms of just the color around the margins in the Software business at this point. When I kind of go through the numbers, sounds like you've built in all of the -- what you kind of need for this year in terms of your guide. So does that mean that incremental revenue, should they show up, generally will drop to the bottom line? Or how should we think about things like that? 
William Lansing: Yes. That's a great question. I think, in general, that's a fair statement. We're pretty comfortable with where the margins are, and our expenses are running in line with what we expect and what we forecast and what we planned for. And so what you said is largely right. Incremental revenue should fall through to the bottom line.
 That said, as incremental revenue comes in, we do reevaluate whether we want to devote some portion of that to additional resource for more rapid development. So will 100% of it fall to the bottom line? I don't know. We'll see. 
Operator: And our next question is from the line of Manav Patnaik with Barclays. 
Manav Patnaik: Steve, maybe just to follow up on that, if you could help with the Software kind of cadence around the operating expense. Looks like it ticked up sequentially, maybe a little bit higher than we thought. But since everything is running in line, can you just walk us through how we should think about the expense spend there? 
Steven Weber: Yes. So I mean we talked about that a little bit last quarter that we're making some investments. There's a lot of growth here, and we think there's a lot more room for growth. And we're doing some investment on the R&D side to add more functionality. And we're doing some investment on cybersecurity as well. So there is some investment coming in there. There's a lot of different moving parts this quarter because you've got -- we had the end of the year bonuses that happened too, so that rolls in here as well.
 So you'll probably continue to see the expenses trend up through the year as we bring more people on. We have about 100 more people today than we had a year ago, right? So we're investing, like we said, in those specific areas. So -- but you'll see the expenses throughout the year trend up but not really all that dramatically. 
Manav Patnaik: Okay. Fair enough. And then, Will, just in terms of the lending commentary, I mean, I think we all have our views on mortgage, so let's put that aside for a second. But can you just walk us through what's going on in auto and card with both those down 3% and 5%? Just anything to call out there and what the outlook for '24 is really for those 2 categories? 
William Lansing: I don't have a lot of additional to add there. I mean it's down a little bit and again, not a gigantic surprise to us. I think we're very kind of comfortable with that. It's within our kind of range of forecast, so not -- we wouldn't consider it a big surprise. And in terms of guessing about the future, honestly, Manav, your guess is as good as ours. We're -- as you know, we're a trailing indicator. 
Operator: And our next question is from the line of Kyle Peterson with Needham. 
Kyle Peterson: Wanted to continue on the expenses and kind of what you guys saw this quarter. I guess, in terms of mix of revenue, it looks like there's a lower amount of professional services, which usually would think of as kind of a bit of a drag on expenses. So I just want to see how we should think about the relationship between services revenue in some of these buckets versus the expense growth. Like is there any lag? Or how should we think about some of the puts and takes there? 
Steven Weber: No. I mean so the professional services piece is a little bit unique because most of the PS work is done by internal resources. So in some cases, if they're not working on billable deals, they're working on R&D. In some cases, we've moved people into that function as well. So those costs don't necessarily go away.
 The professional services piece for us really is most of it's implementation work that we do on the Software side. So we don't really look at that necessarily as a profit center. But in terms of as an indicator of potential expenses, I think the PS tends to run in that $20 million to $25 million range. It was a little bit lower this quarter, but it's never going to be a lot higher because we're really -- we're kind of downplaying that aspect. And we don't have as many resources in PS as we've had in past years. So I don't think you're ever going to see that really tick up or really have much of a material impact on the overall margin of the business. 
Kyle Peterson: Maybe just to follow up on the guidance methodology, particularly on the Scores side. Things looks like -- it sounds like your overall revenue top line is pretty much unchanged, and the volume assumptions seem the same. So I guess could you just confirm on the pricing assumptions and kind of maybe what actions you guys have taken on that front? And if everything that went into effect on the 1st of the year is in the guidance or if there's still kind of a wait-and-see approach with volumes? 
Steven Weber: Well, I mean, there's still a lot of -- obviously a lot of volatility around the volume. So I think next quarter, yes, all the pricing went into effect in first part of January. We'll have a lot more color that we can provide next quarter because we'll see the impacts of all that. We'll see how -- we'll be that much farther into the year, and we'll know a lot more about what volumes look like. And frankly, we'll know a lot more about what the rate environment looks like probably in 3 months. So we'll be able to provide more color for the rest of the year at that point. 
Operator: And our next question is from the line of George Tong with Goldman Sachs. 
Keen Fai Tong: You've announced removing tiered pricing increases for mortgage scores this year. Can you talk a little bit about your pricing strategy for autos and credit cards and how pricing trends in these categories will likely compare with last year? 
William Lansing: So we have adjusted price -- you identified, you highlighted probably the biggest change in pricing this year, which was collapsing the tiers in mortgage. And that was really in response to a lot of feedback from the industry about a level playing field, and so we accommodated that.
 In terms of the others, we -- as you know, we adjust prices in every segment every year, and it's relatively surgical. We go pocket by pocket and think through what we can do. Virtually, all of our scores have some level of CPI inflation pricing adjustment. And then others get some additional beyond that where we consider it appropriate. I'd say that we did not take very significant actions in auto and card, not worth calling out separately and beyond kind of cost-of-living adjustment this year. 
Keen Fai Tong: Got it. That's helpful. And can you provide a little bit of detail around some of the real-time trends that you're seeing with mortgage inquiries and some of the real-time trends that you're seeing with card volumes and auto volumes? 
William Lansing: With mortgage, I'd say the surprise is that we're seeing a little bit of refi activity. It doesn't take very much for people to come back in the market and try to refinance their mortgages. And so even a point of decline is enough to generate some volume that we didn't really anticipate.
 Steve, maybe you want to comment on the other. 
Steven Weber: Yes. I mean in terms of real time, frankly, most of the reporting we get is in arrears to some degree, so the numbers you can get from industry analysts are going to be much more real time than what we can provide. There's a lot of industry data that's provided on a weekly basis. That's going to be much more real time than what we'll be able to give you. 
Keen Fai Tong: And are any -- what about some of the arrears numbers that you're seeing with cards and autos? 
Steven Weber: Well, I think like card was running a lot hotter last year, right? I mean coming out of -- when the refi slowed down, although there was a big pickup in card, and we're still seeing that kind of slowdown then about a year ago now. So it's pretty steady. I think there's been a lot of pullback on the subprime markets. But overall, it's not all that materially different. The volumes are not. They'll fluctuate a little bit depending on even what some of the bigger players might do in any one given quarter. But again, that's not -- that's probably not as across the board as mortgage, which is more driven by consumer demand that's tied to interest rates. 
Keen Fai Tong: Great. And commentary on autos? 
Steven Weber: Autos, I mean, autos is relatively stable and has been through that. I mean it's a few percent here or there, but you don't see a lot of volatility in the auto market, at least on the lending side. 
Operator: [Operator Instructions] And our next question is from the line of Seth Weber with Wells Fargo Securities. 
Seth Weber: I wanted to ask, just to go back to the comment about some deals getting pushed to the second quarter, is there anything idiosyncratic that you'd call out there? Or is there any focus on any certain product -- customer categories or regions or anything that you'd attribute that to? Or are you just seeing an elongation of the sales cycle? Because I think, in prior quarters, you guys had talked about a shortening of the sales cycle. So I'm just trying to understand if there's any kind of bigger change that's going on here. 
William Lansing: No, not really. I mean the sales cycle is roughly where it's been lately, which is shorter than where it was a year or 2 years ago. I would say that -- and really I mean just there's nothing special there. The -- we -- it's probably worth reiterating that FICO, unlike a lot of other software companies, doesn't do a lot of wheeling and dealing at the end of the quarter to pull in business, and it is cultural with us.
 Our salespeople and all of our employees really live, act, believe in our #1 corporate value, which is act like an owner. We are really truly aligned with shareholders. We think about it as a family business. And that includes the salespeople at end of quarter. And that's not to say that we don't make a push at the end of the quarter to close business. Obviously, we do like everyone.
 But what's not on the table is a bunch of extra discounting and Hail Mary-type stuff just to pull something in a week earlier. I mean we just don't care. And you'll never find FICO making radical concessions at quarter end to prop up a quarterly number. It's just not who we are.
 And so it's just worth keeping that in mind. So when we say deals move from quarter-to-quarter, it has more to do with the client and their budget time line and their approval process than it has to do with anything else. 
Steven Weber: Yes. And I would just say, practically, we had some deals that we didn't sign that last week of December just because it was hard to get people, right? I mean you run into this issue every December that you might have people that are out on vacation or traveling. You just can't get the ink on the paper. So some of these deals have actually closed in January.
 So I don't -- again, from Will's point -- it's a great point. We're not scrambling trying to do everything humanly possible to get the deal signed in the last week of December as opposed to the first week of January. 
Seth Weber: Got it. Okay. That's helpful. And then just can you -- just expanding on that a little bit, can you just update us on any traction that you're seeing, whatever traction you're seeing kind of outside the financial services area for the Platform business and whether you're seeing bigger uptake there from nontraditional customers? 
William Lansing: Yes. I would say that our Platform business is still very much focused on financial services. The business we do outside financial services today, we do closely aligned stuff like insurance. We do that. But in terms of really nonfinancial services verticals, I would say the lion's share of that is in the optimization area, where we have the world's leading optimization engine. And so it's used by airlines and retailers and all kinds of -- sports scheduling and all kinds of places that are not as typical when you think of FICO.
 That said, our strategy around nonfinancial services is very much to go there through partners. We have a really robust and growing and ever-stronger indirect sales force where our partners focus on both geography, and geographies where we're not so present and on -- partners and geographies where we're not present and then on verticals where we're not as represented.
 And I think you'll see, as our strategy evolves -- and you've heard us talk about building an open ecosystem for -- with the decisioning platform available to any B2C company interested in using it. That's happening this year. I mean we will have open APIs this year. We will have software development kits for ISVs and retailers and VARs and those who want to take our decisioning solutions to other verticals. So you'll see that starting to happen this year. But that's really our strategy, is to do that through partners. There's not much of that that we do directly. 
Operator: And our next question comes from the line of Ashish Sabadra with RBC Capital Markets. 
Ashish Sabadra: Just a quick question on the mortgage volume. Did you provide what the mortgage volume growth was in the first quarter of '24? 
Steven Weber: No, we just talked about the revenues. We don't pull out the different components in terms of the volumes. But I mean you can get the volumes from other third-party sources pretty easily. 
Ashish Sabadra: No, that's helpful. And then maybe on the headwind from the Lat Am license revenue, can you just remind us how much was that revenue in the prior year, 1Q '23? Or how should we think about the growth in the business excluding that onetime headwind? And then as we go through the rest of the year, just curious if there's any other license renewal headwind to be cognizant of. 
Steven Weber: There's potentially license -- I mean the renewals are hard to project, frankly, because we don't know when they're going to renew or sometimes, they'll renew early. Sometimes they will renew later if they'll -- taking on additional pieces. So the renewal piece is [ still gummy ].
 If you look at the next couple of quarters, we had some pretty big point-in-time revenue last year in Q2 and Q3. So we may not have that again this year. Sometimes we have renewals that end up moving to the platform, and they end up becoming ratable revenues. So they don't have up-front license revenue.
 So we're actively trying to move people, obviously, to the platform, which we forego the up-front license revenue in favor of recurring revenue. So as those happen, you're going to see changes there. That's typical to companies that are moving to ratable revenue, but it's been less dramatic for us as we've done over time. But there's always the potential that you're going to see that, and you'll have to think about that as different quarters come up. 
Operator: And our next question comes from the line of Jeff Meuler with Baird. 
Jeffrey Meuler: I didn't understand the answer on the last question. The Lat Am renewal in the year ago, that was in Scores, not Software, correct? 
Steven Weber: Yes, that was in Scores. I'm sorry. That was in Scores. And the ones in Scores happen occasionally. We'll have license deals. Typically, they're foreign deals in areas where a large bank wants to build their own score model, and we'll sign deals with them. So that -- within Scores, we occasionally have those, and it's difficult to -- again, even with those, it's difficult to know what the timing is going to be. 
Jeffrey Meuler: Okay. And then just trying to -- I guess, probably the last question as well, like the 21% growth in B2B Scores last quarter, 12% growth this quarter. How much of that slowdown is just due to the Lat Am comp in the year ago? Or anything else that you can say on like non-origination revenue trends? Because it doesn't look like a lot of [ slowing really ]. 
Steven Weber: Yes, it's primarily -- it's completely due to Lat Am and lower mortgage volumes in Q1 versus Q4, right? I mean that's -- we're volume takers, obviously, right? I mean if the volumes are down, which they're going to be -- they're going to be anyway seasonally in that quarter. The December quarter has fewer mortgages typically than the September quarter does. So it's the combination of those 2 things. Outside of originations, it was up slightly. The non-origination business was up slightly but not all that significant. 
Jeffrey Meuler: Okay. And then can you just help me with like any rough order of magnitude of sizing? If I look at mortgage -- your mortgage origination revenue, roughly how much of it comes from closed loans versus things like rate shopping or applications that don't result in a closed loan or anything else that would like fall in that bucket? 
Steven Weber: Yes. Frankly, we don't know because we don't -- I mean, actually, I think if you asked the bureaus, they'll tell you the same thing. The bundles get pulled for -- with scores and data, and they don't necessarily know -- nobody necessarily knows. If ever, the actual lender knows if it was closed or not. So we don't really know whether they turned into a closed loan or not. That's not reported to us. 
Operator: And our next question is from the line of Rajiv Bhatia with Morningstar. 
Rajiv Bhatia: Sorry if I missed it, but can you provide what percentage of your Scores revenue was mortgage in the quarter? Like I know you'd provided that in the previous quarters. 
Steven Weber: Yes. We didn't provide that. I don't have the number in front of me, what the percentage was. So I -- we don't -- we didn't -- occasionally, we will do that. We didn't provide that this quarter. So you could probably back into it if you took the numbers we gave you from last year and then the percentage increases. 
Rajiv Bhatia: Okay. We can follow up I guess. And then I know we talked about like the Latin America kind of Scores license. But if I look at like the Asia Score revenue in your 10-K -- or 10-Q, it was, I think, $5.9 million and definitely more than $4.1 million for the -- for all of fiscal 2023. So I guess is that like [indiscernible]? 
Steven Weber: Yes, we had our license deal in Asia in Scores. So we had a much larger one in Latin America last year. And then we -- if you look at it in any given quarter, probably half the time, we have a license deal somewhere. But obviously, the total license deals this year were much smaller this year than they were last year. And that was because of the Latin American deal. 
Operator: And at this time, there are no more questions in the queue. I will now conclude the call. So thank you, everyone, for joining today's call. This does conclude the conference call, and we thank you for your participation and ask that you please disconnect your lines.